Frank van Zanten: Good morning, and thank you for attending Bunzl's 2024 Full Year Results presentation. I appreciate you joining us today. After my initial introduction, Richard Howes, our CFO, will cover our financial performance, capital allocation and outlook for 2025. After that, I will summarize our strategic progress during the year. But before we begin, I would like to say thank you to all my colleagues for their diligence and dedication in delivering another year of excellent strategic progress. I want to start today by highlighting the strong and resilient compounding nature of Bunzl driven by our business model and consistent strategy. Since 2014, we have delivered an adjusted EPS CAGR of 8% with strong consistency of growth over the years, driven by both organic and acquisition growth. This, along with our progressive dividend, has delivered significant shareholder value over an extended period and we have achieved this alongside a broadly stable adjusted net debt to EBITDA. The group has a very disciplined capital allocation framework to support this growth demonstrated by the group's high and resilient return on invested capital. This return remains well ahead of the group WACC and has been achieved with a cumulative GBP 2.6 billion committed acquisition spend over the last 5 years. The consistency of our growth is demonstrated by the very low volatility of our EPS growth over the last 10 years, which is markedly lower than the FTSE Support Services Index and significantly lower than a selected basket of U.S. distributors and compounders. This is driven by the structurally resilient nature of our business with Bunzl distributing essential products across a diversified mix of sectors and geographies. Furthermore, it is supported by the consistency of our growth strategy and ongoing consolidation opportunities. Taken together, these 3 metrics underpin the Bunzl investment case. I'm proud of the group's achievement over the last 10 years. With our continued focus and discipline, I'm confident we will continue to deliver on these strong results. 2024 is a good example of our growth strategy and resilience in action. We achieved strong adjusted operating profit growth of 7.2% at constant exchange rates, mainly driven by operating margin expansion from 8% to 8.3% due to the contributions from higher-margin acquisitions and an underlying margin increase. Revenue at constant exchange rates increased by 3.1% with strong acquisition growth, partially offset by underlying revenue decline driven by deflation as well as volume softness in North America in the first half. The group, however, delivered slight volume growth and saw a small easing of deflation in the second half of the year. Return on invested capital remains an important focus for the group and was 14.8%, well ahead of the group's WACC. Consistent cash generation remains an important feature of our model, and we generated GBP 634 million of free cash flow, achieving 93% cash conversion. We continue to normalize dividend cover to more historical levels with an 8.2% increase in our total dividend per share. As part of our capital allocation commitment, we have also announced 2 share buyback programs. The first, a GBP 250 million buyback was completed in 2024, and the second, a GBP 200 million buyback is underway. Our leverage increased over the year, driven by a record acquisition spend and the 2024 buyback. We ended the year with adjusted net debt to EBITDA of 1.8x, and we have substantial headroom for continuing to self-fund value-accretive acquisitions alongside additional returns of capital to shareholders. Moving on to our strategic highlights. We committed a record GBP 883 million to acquisitions this year with 13 announced acquisitions across 5 sectors and 9 countries. Within this includes our acquisition of Nisbets, the scale U.K. catering business that strongly complements our existing operations as well as our entry into Finland with the acquisition of Pamark. Our acquisition strategy continues to support the strategic development of Bunzl and is building an even better business with a greater proportion of acquisition spend allocated to higher value-added distribution services. Our pipeline remains active. Alongside this, we continue to increase our own brand penetration, which is now at 28% compared to 25% last year, primarily driven by our actions to develop our own brand offering in North America. Own brands complement the depth of our third-party supplier relationships globally, providing our customers with unparalleled choice. Own brand penetration has been supportive to our margin over the year. We increased the percentage of sales processed digitally from 72% to 75%, further enhancing stickiness with customers and increasing low-touch customer ordering. We also consolidated and relocated a total of 19 warehouses, partially offsetting property cost inflation. This continuing drive for operational efficiency is an important part of our strategy. We have also been looking at opportunities to increase automation within our warehouses. Furthermore, with our people at the heart of our success, I'm pleased with the results of our recent Great Place to Work survey. We achieved a trust index score of 71% across the group, with this strong achievement highlighting the trust our colleagues have in Bunzl and its leadership. This is important as satisfied employees are then able to focus on serving their customers, which is key to Bunzl's success. I will now hand over to Richard.
Richard Howes: Thank you, Frank, and good morning, everyone. With around 90% of adjusted operating profit generated outside the U.K., our results on average were negatively impacted by currency translation of between 3% and 4% across the income statement. All my comments are at constant exchange rates unless otherwise specified. Starting with revenue. As we guided in our pre-close statement in December, group revenue increased by 3.1% to GBP 11.8 billion, with net acquisitions contributing 5.1% to this growth. Revenue also benefited 0.4% from an additional trading day in the year. However, this was offset by a 2.4% decline in underlying revenue, reflecting deflation across North America, Continental Europe, and U.K. and Ireland, as well as volume reductions primarily in North America in the first half. Underlying growth -- underlying revenue was down 5% in the first half, but was flat in the second half, as volumes returned to a slight growth, and there was a small easing in deflation driven by Continental Europe and U.K. and Ireland, although deflation persisted in North America. The expected return to net inflation in Continental Europe did not occur in the latter part of the year. However, North America saw volume growth in the second half and revenue growth in the rest of the world was very strong across the year. Overall, revenue growth in 2024 builds on the strong growth delivered in recent years with revenue now 30% higher than in 2019. Now turning to the income statement. Adjusted operating profit grew strongly by 7.2% to GBP 976 million. This was driven by a strong increase in operating margin from 8.0% in 2023 to 8.3% in 2024. This increase has been driven by the higher margins attributable to acquisitions as well as an underlying margin increase. Our operating margin also reflects a strong expansion in gross margin, supported by acquisitions and own brand development, partially offset by an increase in our operating cost-to-sales ratio. Our profitability remains very strongly ahead of 2019 with operating margin having expanded from 6.9% to 8.3% and adjusted earnings per share is 54% higher. Frank will speak more about our margin drivers later. Adjusted net finance expense increased by GBP 12.7 million to GBP 103.2 million, driven by increases in lease expense and interest rates on floating debt, partially offset by lower average debt during the period. The effective tax rate for the period was 25.5% compared to 25% last year, reflecting the impact of the increase in U.K. corporate tax rate in the first quarter. Adjusted earnings per share increased by 5.5% to 194.3p, given the strong profit performance. Reflecting our confidence in the outlook for the group, we continue to normalize our dividend cover to historical levels. Our recommended final dividend is 53.8p, giving total dividend per share growth of 8.2%. Our GBP 250 million share buyback was executed largely in the final quarter of the year, limiting the impact on the average number of shares and therefore, adjusted earnings per share in 2024. Reported earnings were impacted by a currency translation-driven loss related to the disposal of our business in Argentina in March. Coming back to operating costs, where the group saw moderate inflation in 2024. People costs account for approximately 50% of our operating costs and wage inflation in North America was at more typical levels. In Continental Europe and Ireland -- U.K. and Ireland, wage inflation remained elevated, but this is expected to normalize in 2025, although the increase in national insurance and the national living wage in the U.K. is expected to have an impact. Fuel and freight costs account for approximately 15% of our operating costs and were well managed over the year, supported by contract retendering in North America. Property leases are approximately 10% of our operating costs with inflation linked to renewals remaining high. We have an ongoing focus on operating cost efficiencies across the group going into 2025. Before I discuss sector performance for the year, I want to reiterate our views on the medium-term growth outlook. We see good growth opportunities in all our sectors, except bricks-and-mortar nonfood retail. Safety, cleaning and hygiene and health care remain the sectors where we see the greatest growth opportunities, both organically and through acquisitions. Deflation impacted revenue across the year, particularly in the cleaning and hygiene, foodservice and grocery sectors. Combined, our safety, cleaning & hygiene, and healthcare sectors saw flat organic revenue growth over the year. Moderate growth in our safety sector was driven by strong growth in the Rest of the World, supported by inflation and volume growth, but partially offset by more mixed trading elsewhere. The cleaning & hygiene sector saw some volume growth, however, deflation more than offset this, leading to moderate organic revenue decline. Organic revenue in our healthcare business saw good growth driven by the Rest of the World, whereas organic revenue in the grocery and other sectors declined by around 2% with volume growth driven by net business wins in North America, more than offset by deflation. Foodservice and retail declined by 4%. Foodservice was impacted by deflation as well as volume softness in our U.S. redistribution business, resulting from strategic changes to increase our own brand penetration alongside price competition resulting from the deflationary environment. Volumes stabilized in the second half of the year. Retail was also impacted by deflation, the loss of a customer, and in the first half, our decision in the U.S. to transition ownership of customer-specific inventory back to certain customers. However, actions taken in North America increased adjusted operating profit for the retail business alongside strong improvement in return on average capital employed. Now moving on to the business area performance. In North America, we saw slight adjusted operating profit growth despite underlying revenue decline driven by deflation as well as volume reductions in the first half I have just described. Volumes grew in the second half, supported by net business wins, although deflation persisted longer than expected. Operating margin expansion was strong, supported by good margin management, including meaningful expansion of our own brand penetration. Continental Europe saw moderate revenue growth driven by acquisitions with underlying revenue impacted by deflation. This deflation alongside operating cost inflation and the region's relatively high cost to serve model impacted adjusted operating profit and margin. The second half was particularly impacted. France, Denmark and certain businesses in the Netherlands were impacted by these headwinds, although Spain delivered very strong growth, supported by both acquisitions and underlying growth. We have an active focus on cost initiatives heading into 2025. U.K. and Ireland saw very strong revenue growth driven by acquisitions, although underlying revenue declined because of deflation and soft volumes. Continued focus on margin management contributed to a strong increase in operating margin and the integration of Nisbets is progressing well. We are happy with the business, although financial results were impacted by market softness and meaningful one-off supply chain challenges earlier in 2024. Trading improved towards the end of the year, and the business will benefit from identified synergies from 2025 onwards. The U.K. and Ireland's return on average operating capital was impacted as expected by Nisbets with returns now closer to the group average. In Rest of the World, revenue growth was very strong, driven by acquisitions and good underlying growth. This was led by strong volume growth in Latin America, predominantly in safety, and both inflation and volume growth in Asia, mainly in health care. Rest of the World's operating margin increased very strongly to 12.1%, reflecting the positive contributions from acquisitions and good margin management. Now on to cash flow. The group's consistent cash conversion continues to support our compounding model. In 2024, cash conversion was 93%, ahead of our 90% target. We generated GBP 634 million of free cash flow, giving us the ability to self-fund acquisitions and other capital allocation options. During the year, we paid GBP 229 million in dividends and made a net payment of GBP 14 million to buy shares for our employee benefit trust, leaving total cash generation prior to investment in acquisitions and share buybacks of GBP 391 million. Cash outflow on acquisitions, net of a small inflow related to disposals totaled GBP 675 million, and the cash outflow on our share buyback was GBP 248 million. Turning to the balance sheet. Working capital increased by GBP 52 million, mainly due to the impact from acquisitions and an underlying increase driven by inventory, partly offset by a decrease from currency translation and accrued commitments under the share buyback program. Deferred consideration related to acquisitions increased by GBP 83 million to GBP 258 million. Inclusive of the off-balance sheet components, deferred and contingent consideration was GBP 375 million compared to GBP 259 million at the end of 2023. The reduction in our pension assets mainly relates to the buy-in of our U.K. defined benefit pension plan. Completion of the buy-in has substantially mitigated the risk of material changes to the scheme going forward. Our pension exposure to other schemes remains small. Our adjusted net debt-to-EBITDA was 1.8x compared to 1.2x at the end of 2023. Adjusted net debt, including deferred and contingent consideration to be paid on acquisitions was GBP 2 billion. This headline ratio continues to exclude the impact of leases. We, therefore, have substantial capacity to continue to self-fund value-accretive acquisitions alongside additional returns of capital to shareholders. Returns remained strong with return on invested capital of 14.8% and a return on average operating capital of 43.2%, significantly ahead of 2019 levels. Now moving on to capital allocation. Recognizing that we have structurally deleveraged and remain below our target leverage range of 2x to 2.5x in recent years, in August 2024, we committed to return to our target range by the end of 2027 by increasing the amount of capital we allocate through our disciplined framework. Aligned to this, we completed a share buyback in 2024 and have completed GBP 50 million of our GBP 200 million share buyback in 2025. In the 3 years ending 2027, we committed to allocate around GBP 700 million annually towards acquisitions and, if required, additional capital returns. If at the end of each year, the full amount has not been deployed in value-accretive acquisitions, we will top up the amount of committed spend to around GBP 700 million with a capital return in the following year. By way of example, if we spend GBP 500 million in 2025 on value-accretive acquisitions, we will announce a GBP 200 million buyback to be completed in 2026. Our clear preference remains to allocate this additional spend towards value-accretive acquisitions. We operate in very large markets, fragmented sectors with a substantial opportunity to further consolidate our existing markets. And as we have demonstrated with our recent steps into Poland and Finland, new markets also provide additional growth opportunities. Our pipeline remains active with well over 1,000 targets in our database. Now moving on to dividends. We have extended our track record of consecutive annual dividend increases to 32 years, maintaining a CAGR of 9.5% over this period. This is an achievement we're very proud of and one which underscores the resilience of the Bunzl business model, the strength of its cash generation, and the consistency of its compounding growth strategy. We remain committed to continuing this track record. And in 2024, we increased the dividend per share by 8.2%, as we continue to normalize dividend cover back to historical levels. Dividend cover for 2024 was just over 2.6x, and this is expected to normalize further in 2025. Turning to our 2025 outlook. Despite significant economic and geopolitical uncertainties, we reiterate our outlook for 2025 with net deflation expected to be a headwind into the year. We continue to expect robust revenue growth driven by announced acquisitions and slight underlying growth. We continue to expect group operating margin to be maintained in line with 2024 and to remain substantially higher compared to the pre-pandemic levels, driven by higher-margin acquisitions as well as a good underlying margin increase. We are also providing the following guidance. The group expects a tax rate of approximately 26% in 2025. Net finance expense in the 2025 is expected to be around GBP 115 million, reflecting the increase of our leverage as well as a reduction in the pension credit following the buy-in of our U.K. pension scheme. We do not provide a forecast for weighted average shares over the period, but want to highlight that the group started the year with 329.3 million shares outstanding. I will now hand you over to Frank to take you through our strategy update.
Frank van Zanten: Thank you, Richard. Let me start by reminding you of Bunzl's core proposition and why we are a key part of our customer supply chains. Bunzl is a specialist distributor of essential goods not for resale. These are typically low-cost items that are critical to our customers' operations where the risk of failure is high. We source, consolidate and deliver these products, working with more than 15,000 suppliers, serving as a one-stop shop for our customers and providing consolidated deliveries on a just-in-time basis. We enhance our offering with an innovative own brand portfolio, strong sustainability expertise and digital investments. As a result, we provide a tailored value-added service that goes beyond the supply of products. Service is core to what we do with circa 30% of our employees being either customer service or sales experts. Overall, our customers benefit from more than just competitive product prices. We provide reliability and consistency of delivery, working capital savings, and we continuously make investments in expertise and innovation. The essential nature of our business and the strength of our offering results in highly sticky relationships. To highlight this, the average length of partnerships with our top 40 customers in North America is more than 20 years. The strength of our customer retention is seen across the group. Our strong customer proposition is complemented by a consistent strategy that has delivered for the group over many years. Organic growth is driven by new customer wins, selling more to existing customers and product price inflation, which could be a potential medium-term support. Winning new business is supported by the expansion of product ranges and our investment in the development of own brands and sustainability credentials. We complement our organic growth with acquisitions of other customer-focused businesses which, at the value-accretive multiples we achieve, supports our expansion in a disciplined way. In addition to revenue growth, we focus on driving operating margin expansion through good margin management and implementing operational efficiencies. Furthermore, the acquisition of high value-added businesses with strong margins are also a support. Our model is highly cash generative and, in addition to supporting strong self-funded growth, has enabled 32 years of consecutive annual dividend growth as well as recent buybacks. Overall, our growth strategy has driven around 9% adjusted operating profit CAGR over the last 10 years, while we have also generated a total of GBP 5 billion of free cash flow, reinvesting around 70% of this into self-funded acquisition. This has driven strong value creation for shareholders. We have delivered EPS growth of 125% over the last 10 years and a 10-year dividend return of 28%. Moving on to discuss organic growth. To enhance our customer proposition, we continue to invest in developing own brand products. Recently, we have seen significant success with the development of our emerging sustainable own brands. These own brands complement our third-party product offering and are intended to target specific customer needs. We have created 4 specific brands across the group: Ecosystems, Verive, Sustain and Revive. Each is geographically focused and has bespoke products designed to help our customers meet their sustainability targets, transition towards a circular economy and navigate the impact of legislation. We continue to grow and develop these product ranges to meet demand, and we have increased the number of SKUs we offer globally in these flagship ranges by 30% in 2024. Revenue has correspondingly increased by around 45% Development of our own brand ranges represents a significant competitive advantage and supports both customer retention and new business growth and is generally supportive to margin. Turning to operational efficiency. I want to give you a few examples of the incremental improvements we are making in certain parts of the group. We have been exploring investments in different autonomous mobile robots tailored to the product mix and business case in various warehouses across the group. They can improve efficiency by optimizing navigation, storage and transportation of goods around the warehouse. They also offer additional health and safety benefits by reducing manual labor, safety incidents and fatigue. At one of our warehouses in North America, we have successfully trialed autonomous pick carts, the robots you can see in the picture, they optimally move around the warehouse based on orders, whilst the employee follows and loads products onto the card. These robots have reduced seconds per pick by 60%. The business case for such investments, no one size fits all. And for some businesses, autonomous robots like these would not deliver good returns. Another good example is the implementation of goods-to-man robots, which are planned for new warehouse in Denmark. In this system, which is relevant given the type of products picked and the specific warehouse space, robots would bring shelves and pallets to a stationary employee, who then packs the relevant items. This is expected to double the productivity of manual picking. Furthermore, in 2024, we completed a total of 19 warehouse relocations and consolidations across the group, which partially offset property cost inflation. Additionally, we have commenced a large consolidation project to optimize our warehouse footprint in France, which is expected to support operating cost reduction initiatives in Continental Europe and will be completed in 2026. We have achieved significant success in transforming Bunzl over the last few years into a structurally higher-margin business. Operating margins has increased significantly from 6.9% in 2019 to 8.3% in 2024. Roughly half of this expansion relates to an underlying margin increase, whilst the remaining half has been driven by acquisitions made since 2019. Our underlying operating margin increase has been driven by good margin management, including increasing our own brand penetration. Operational efficiency remains an important pillar of our strategy and our investments in areas such as digital technology and warehouse consolidation continue to support our underlying margin performance. As Richard mentioned, managing operating costs remains a focus for 2025. Finally, a focus on value-added distribution has allowed us to materially reduce the percentage of group revenue subject to cost-plus arrangements. Overall, we remain focused on these drivers of margin expansion to support the group's profitability. Turning to acquisitions. As mentioned before, we achieved a record level of total committed spend in 2024 with 13 announced acquisitions. Demonstrating the breadth of our opportunity, we completed acquisitions in 5 of our market sectors and 9 different countries. This included 3 anchor acquisitions: Nisbets, Bunzl's largest acquisition to date with an extensive own brand portfolio, impressive digital capabilities and strong synergy potential; Pamark, our first acquisition in Finland; and Cubro, which is our expansion into the mobility aids and clinical furniture market in New Zealand. And in addition to these anchor acquisitions, we continue to consolidate our existing markets with 10 bolt-on deals, each bringing additional benefits such as increased geographic coverage, wider product ranges and specialist capabilities. Our acquisition pipeline remains active, and we continue to see many opportunities for consolidation in our fragmented end markets as well as opportunities to enter into new sectors and geographies. I want to take a moment to discuss how acquisitions support Bunzl's strategic priorities. Firstly, through market expansion. Many of our bolt-on acquisitions can be characterized as building share in existing markets. Others are acquisitions that have allowed us to enter new sectors and sector adjacencies in countries where we already have a presence, so targeting some of Bunzl's white space. In addition, over the last 5 years, we've expanded our geographic reach through acquisitions in Poland and Finland as well as materially increasing our presence in Germany. Secondly, acquisitions support the growth of our scale and capabilities. For example, they have enhanced our digital expertise, supported our increased own brand penetration and build further scale to leverage with suppliers. In addition, also as we grow through acquisition of high-quality businesses, we increased the talent in our organization. We've seen an increase of approximately 8,000 colleagues in the Bunzl family over the last 5 years. Thirdly, we have a preference for acquiring companies which provide higher value-added distribution services. Around 70% of our acquisitions in the last 5 years have therefore been in the safety, cleaning & hygiene and health care sectors. Additionally, these sectors have good structural growth tailwinds supporting GDP plus organic growth opportunities. And lastly, these acquisitions have been supportive to the group margin growth, as I've previously explained. However, it's important to note that our other sectors continue to be important to the Bunzl's portfolio. Return on average operating capital is similar across our sectors with the sectors that are typically lower margin, delivering strong cash conversion. We will provide further details on how acquisitions support the group's development at an Insight event on the 8th of October, led by Andrew Mooney, our Corporate Development Director. This will be similar to our previous events and will be virtual, allowing access to as many people as possible. Let me now give you some examples of this strategy in action over the last few years. We've acquired multiple digital businesses to enhance our capabilities, beginning with Quirumed in 2015 through to Nisbets last year. These sector-focused specialist businesses are typically faster growing, have higher margins, serve smaller professional customers, and bring valuable digital expertise that can accelerate growth across the group. At a more local level, you can also see how we continue to develop our presence in the higher value-added sectors. Firstly, in Asia Pacific, the acquisition of Obex in 2021 marked our entry into medtech distribution globally. The strong management team of Obex has since driven the bolt-on acquisitions of DBM, GRC and Toomac. These bolt-ons have expanded our presence into other medtech subspecialties in New Zealand and to medtech in Australia. In the U.S., MCR Safety, a sizable and strong own brand business was bought in 2020. Tingley Rubber, a specialized goods company, was subsequently acquired in 2021, and has been integrated into the business with MCR scale providing Tingley with enhanced growth opportunities and optimizing costs. In Canada, the string of pearls acquisitions of 3 regional cleaning and hygiene market leaders between 2020 and 2023 has strongly expanded Bunzl's coverage across the country. With a strong acquisition strategy, Bunzl continues to build a more resilient and value-added distribution business, positioning itself for sustainable long-term growth. The group's disciplined approach to capital allocation priority is evidenced by our consistently high return on invested capital, which remains well ahead of our WACC. Approximately 30% of our total acquisitions since 2004 have occurred in the last 5 years with our multiyear average spend increasing as the group has grown. Our average annual committed spend across 2021 to 2024 was GBP 550 million, which is more than double the average across 2013 to 2016. Over the last 5 years, our committed spend has totaled GBP 2.6 billion. And despite this, our return on invested capital for 2024 was 14.8%, ahead of the level achieved in 2019. Our focus on delivering strong returns is also reflected in our portfolio discipline. We regularly review our portfolio of operating companies and today announced the disposal of our R3 safety business in the U.S. We bought the business in 2006, and it is Bunzl's only pure wholesale safety business in the U.S. This low-margin business generated GBP 50 million of revenue in 2024. Since 2022, we have completed 4 disposals. The combined annual revenue of these businesses was approximately GBP 250 million, and the combined operating margin was low to mid-single digit, well below the group average. Before we move on to Q&A, I want to go over our key takeaways from today. Firstly, Bunzl is a strong and resilient growth compounder, having delivered 8% EPS CAGR since 2014 with our annual EPS growth showing very low volatility. Furthermore, this has been achieved while maintaining a strong return on invested capital alongside significant acquisition investment. Secondly, our operating margin is sustainably higher than levels achieved historically, supported by acquisitions and improvements to our value-added offering. Thirdly, our opportunities for future expansion are extensive. And finally, we continue to have a disciplined approach to capital allocation, which will continue to support strong shareholder value creation. All of this gives me significant confidence in Bunzl's continued prospects in the medium term. Thank you for your attention. We are now very happy to take any questions.
Q - Rory McKenzie : It's Rory McKenzie from UBS. Firstly, on the Q4 trading that showed that persistent deflation you've been speaking about. Have you seen any signs from suppliers that price increases can start to come through this year? And how in general are you planning for the year ahead? And then secondly, your 2025 guidance is for margins to be maintained at this record level. Can you say how much contribution to that you expect from the existing acquisitions and Nisbets synergies? How much of a tailwind there is from disposals? And so what you're expecting for the underlying margins?
Frank van Zanten: Okay. Maybe you can take the second question. In terms of deflation, it's fair to say that deflation persisted a bit longer than expected, and we still see some deflation going into certainly the first half of the year. We do hear suppliers announcing price increases. For instance, Essity announced 5% price increase. But these price increases always, like historically said, also, it depends a little bit on how they stick, really relates to the strength of the economies around the world. So there are some positive signs, but we always need to wait, is it going to stick or not.
Richard Howes : And on margins, yes, we've maintained our guidance of being in line with 2024. And how that's made up? If you look at the -- we obviously have a note in the press release, would give you a sense for the amount of profit that moves from 1 year into the next on acquisitions, because the way we disclose an annualized number and an in-year number. So you have that. Typically, you can expect those margins to be higher than the group average. This year, the Nisbets effect ameliorates that somewhat. So Nisbets actually slightly lower than group average will affect that margin flow through into next year. On disposals, I mean, anyone that's really noticed the R3 safety disposal we've just discussed. It's a lower-margin business, GBP 50 million of revenue. Think of the profit contribution between low to mid-single-digit pounds millions. So the net of all of that gets you back to our guidance, but that gives you the moving parts. Annelies?
Annelies Vermeulen : Annelies Vermeulen from Morgan Stanley. I have 2 questions, please. So firstly, on the own brand penetration, you've added 3 percentage points this year to 28%. Could you comment on how much was added through acquisitions relative to your base business? And given that big step up this year, how do you expect that trajectory to continue going forward? Do you still have a level in mind of where that gets to? And then secondly, just on the U.S., given President Trump's quite anti-ESG stance, I'm just wondering whether you're seeing any changes in customer behavior on the back of that, a return of plastic straws, for example, versus paper straws. And Frank, you've talked about the sustainable own brands. Do you see any risk to those given the Trump's anti-ESG stance? Or is that too early?
Frank van Zanten: Maybe you can talk about the first, split. On, yes, the anti-sustainable trend, we don't really see a big shift. What we've seen a little bit is that the growth in some of these sustainable products has been a bit pressured by, let's say, economic reasons. So people not prepared to spend the extra money on some of the sustainable ranges. Having said that, we've seen significant growth in the sustainable own brands, which is a positive. Even in the U.S., we see still state-by-state big differences like California is very focused on sustainability. And so no real change so far.
Richard Howes : And on own brands, I mean, look, obviously, the wider context here is that own brands typically are supportive to margin. If you can think of this being supportive, both at the gross margin level and at the operating margin level, we've grown obviously significantly over the last few years. It was about 19% in 2019. We're at 28% now. The 3 percentage point increase in 2024 is a mixture. There is some Nisbets effect in there. Nisbets is about 60% own brands. But the bigger effect actually comes from our distribution business in North America, which is obviously supporting its branded partners, but also driving an own brand proposition, but from very low levels. So a couple of years ago, they were at 5%. And as of the end of this year, it's more like 14%. So you can see there's a good organic trajectory as well as a bit of extra from acquisition. In terms of where does this get to, I think that largely depends on how far our distribution business in North America can take its own brand percentage. But we think in the medium term, this could be in the range of 30% to 40%, maybe more towards the lower end than the top end. James?
James Rose: James Rose from Barclays. Two questions, if I may. The first on Europe. You've mentioned that Europe has a high cost to serve model, a few times in the press release. Could you sort of elaborate on what you mean by that and why it is? And then secondly, looking to outlook specifically for Europe as well, if cost inflation remains elevated and there's not much growth around, could we expect European profits to be going backwards in 2025 also?
Frank van Zanten: Okay. Let me take the first question, given I ran Continental Europe in the past. Let's say, the reason that it's slightly higher cost, but also higher margin, is the fragmented nature of the business. So the average size of the companies are smaller than, for instance, in the U.S., also dealing with smaller customers, and your businesses are obviously spread over 11, 12 different countries. So that's a bit higher cost in terms of scale. Also, there are some countries like in France and Belgium, where it's almost like automatically, you need to follow the increase in terms of labor increases. Yes, so let's say, the gross margins are higher, the operating costs are a bit higher due to the fragmentation, the customer size, but also the way the average sizes per business over all these different countries work.
Richard Howes : And in terms of the outlook for Europe, I mean, contextually, of course, Europe has been a very strong growth engine for the group over many years. So this is a very strong part of the group. It has seen in the second half of the year margins being impacted exactly to the point of cost inflation off the back of a higher cost to serve model at a time when we didn't see price increases that we expected. So the lack of that price support is part of the reason why we've seen margin decline in the second half. I think it's reasonable to assume, as we look into 2025, that the trends we saw in the second half should persist into the first half. I think that's reasonable. I think counters to that will be if we do see price increases from our supply base, that would change that outlook. And I expect the second half to be better than the first half. So that shape, I think, is a reasonable one to expect. But I think there's upside to that. David?
David Brockton: David Brockton from Deutsche Numis. Can I ask 3, please. Firstly, on gross margins. Can you talk about how those have trended over the course of last year, I guess, own brand has supported deflation against it? Secondly on tariffs, can you just remind us on how you see the business positioned for that? I appreciate it's mostly locally sourced, but I'm interested, particularly for the agri business. And then finally, in terms of the opportunity for more efficiencies, intrigued to understand and help conceptualize the opportunity for ongoing warehouse consolidation and more automation. It's quite hard to understand when you give a sort of '19 number, how that relates to the entire estate.
Frank van Zanten: Let me deal with the second and the last. Maybe you can deal with the gross margin trend.
Richard Howes : Yes. So look, obviously, we've seen gross margin improvement over the last few years has been a key part of the way in which margins have developed. You will see the -- in the annual report, we give you the number, but I might as well give it now. So it's 28.8%. It's up 180 basis points on 2023. So a positive progression. About half of that is acquisitions, because Nisbets comes with a much higher natural gross margin than the rest of the group. So a bit of both. In terms of own brand, for sure, that's another driver of the organic element of that. And that's something that when we look forward, even though there may be some headwinds to margins at some stages, we talked about in the past, the potential for the inflation element of our organic margin potentially having to concede some ground. Not that we're anticipating that, but it's possible. But if you look at the own brand potential, then I think that's the reason why we were positive on gross margins and indeed on operating margins. So yes, good performance across the year, and we'll see how that plays out in 2025.
Frank van Zanten: Yes. Just on tariffs, this picture sort of changes by the day. Things get announced and get withdrawn or get reduced or get increased. So first thing is, given the nature of our bulky goods, a lot of what we buy around the world is domestically sourced. We're buying about 10% of our group sales from China. It's not very different in the U.S. We tend to buy these products there that are not very easy to buy somewhere else and the competition tends to do the same, or there's a big differential in terms of producing it locally. So let's say, if this all continues the way it is announced and as we experienced in the past, this should lead to inflation on products and inflation in principle for distributors is positive. Now what is the impact on economic growth in the U.S. is the other impact that is hard to say. In terms of importing from Canada, let's say, Canada importing from the U.S., there is a bit of that, that will also lead to inflation in Canada then. And then bringing in products from Mexico is actually very, very small. And where it happens, it will probably lead to inflation on products. At the same time, let's say, it's a quite dynamic environment for Chinese suppliers, obviously, because either there's pressure or there is people to try to move more away from China. And whilst that is happening, all our non-U.S. businesses have an opportunity to buy better in China, because the Chinese are very keen to hold on to their volumes as well. So it's a very volatile environment. Lots going on, reduces the predictability of things going to happen. But those who follow Bunzl, 2009, during COVID, we have a very strong supply chain. We have our Asia sourcing office. So we tend to react quicker than other people who don't have an import organization. So we often benefit from these things, but it remains to be seen also because if the economy in the U.S. would call down because of inflation, obviously, that's not a good thing as well. Suhasini, thanks for waiting.
Suhasini Varanasi: Three from me, please. Can you maybe discuss how organic trends have evolved in early months of first quarter, January, February this year compared to the fourth quarter and second half last year, deflation and versus volumes? And anything to call out by region? Second one, how should we think about the impact of the customer loss in the U.S.? What led to that? If you can provide some details around that? And anything that we need to expect for 2025? Third one is on margins. You've detailed some -- you've discussed that you want to improve the margins in Europe. Can you provide some details around what those plans are, the cost that you will incur to improve the margins, and the benefits that you expect from that? And maybe just one on U.K. as well, the impact of the National Insurance and living wage increases. How should we think about margin development here? What actions are you taking to mitigate it?
Frank van Zanten: Maybe I can take the last one. So I think the impact National Insurance is just over about GBP 5 million. Obviously, that's the direct impact. Obviously, our customers, like the big retailers, they have a lot of people employed. So what the indirect impact of that is a bit more difficult to predict.
Richard Howes : Yes. On the trends, Suhasini, we talked to the pre-close about that deflation would continue longer than we anticipated. That's a North American thing. And we will have seen that. We have seen that in the first few weeks of this year coming through. When we look at the overall trends for the year, given our guidance that this implies volume growth, continued volume growth, I expect to see that in the first half. I think the balance between -- when you look at the near term, the balance will depend on how much of -- the ratio between how much deflation versus volume. So that's what we see in the near term. We'll see when we get to the AGM statement in a few weeks as to how that plays out, but they're the moving parts. In terms of customer loss in the U.S., yes, this is in our retail business. You will remember that we've been -- the retail business has been challenging for a while. More recently, we've been very clear to make sure that we only transact with customers who've got a sufficient credit quality. And those who don't, we have been moving inventory back to them. This is an example where we've actually decided to exit a customer as a consequence of those things. So it's our own actions that have done it. I think what's important here is that the business in the U.S. has drove profits up, its margins are up, and its return on capital employed is substantially up because, of course, it has now, in certain cases, moved inventory back to its customers. Karin?
Karin So : Karin So from JPMorgan. Just 2 left from our side. First, looking at the volume growth in Q4, can you comment on how much was a pull forward of demand ahead of tariffs? And how much was a seasonal benefit from a strong Christmas? The second question is also on own brand. If you could elaborate in North America, maybe can you talk about the dynamics between foodservice versus grocery in terms of the own brand penetration?
Richard Howes : Yes. So look, Q4, we have seen a couple of things happening. We are benefiting from net business wins in our grocery business. So that's a help to Q4 volume growth. We have seen a good seasonal holiday season in the U.S. That's obviously Thanksgiving through to Christmas. That period has actually gone well. I think it's also true that we've benefited from the timing of Christmas, both in the U.S. and here in the U.K. We've seen -- I think it's that lead up, Christmas on a Wednesday has meant we had a good week before, a good weekend and a good couple of days leading up to it, which I think has been helpful. There has been some pull forward of safety in the U.S. sales. It's very small, but I think it's noticeably enough, but think of it as low single-digit dollar amount. So nothing meaningful, but we did see it. And I suppose it's to be expected ahead of potential increases in tariffs. In terms of own brand, we're building -- the own brand strategy in North America is building own brands for both grocery and foodservice. We've actually had a good pickup in both sectors. The foodservice sector had a naturally higher own brand than grocery before, and I think they're now about the same. So actually positive dynamics on both of our key end markets in our distribution business in the U.S. Ryan?
Ryan Flight: Ryan Flight from Jefferies here. Just two left from me, please. The first one on disposals. I wonder if you could break down exactly what it is that you look at and how much of it comes down to margin? And then number two, on the typical question on M&A pipeline and whether you'd have appetite for another in Nisbets this year or next?
Frank van Zanten: Yes. Let me try to give a go. Yes. So on disposals, let's say, there's no sort of strict rule, but we take, let's say, an ongoing review of the whole portfolio. We have a strategic plan session. And then if there are exceptional circumstances where you say this is not a business that we want to own, then we will take action. The first one was Argentina. Well, I don't think I need to explain you why we don't want to be in Argentina with, let's say, with all the super-inflation, hyperinflation things. It's a very difficult environment to play with. And the other one was really for strategic reasons. All our businesses in the U.S., the safety businesses are an own brand business, and this was basically selling branded products. So that sometimes ends up into a little bit of a competitive tension. So we waited until the moment was right for somebody to come forward and pay a good price for that business. So it's like an ongoing review. It's not expected to be major going forward. It's a bit of housekeeping in a way. Yes, pipeline is active. There's always -- the majority is more the string of pearl sort of bolt-on acquisitions. Sometimes we do slightly bigger ones. Predictability is not always great when are these things coming to market. So they may come to market. And if we look at these 1,300 deals -- 1,300 targets in our database, the vast majority are smaller bolt-on businesses. But if we can buy a good quality business for the right price, we won't hesitate to do that. Okay. Well, thank you all for joining the event.